Operator: Good day and welcome to the American Superconductor Third Quarter Fiscal 2019 Earnings Conference Call. Today's conference is being recorded.
 At this time, I would like to turn the conference over to Mr. John Heilshorn. Please go ahead, sir. 
John Heilshorn: Thank you, Nick. Good morning, everyone, and welcome to American Superconductor's Third Quarter of Fiscal 2019 Earnings Conference Call. I'm John Heilshorn, LHA Investor Relations, AMSC's Investor Relations Agency of record.
 With us on today's call are Daniel McGahn, Chairman, President and CEO; and John Kosiba, Senior Vice President and Chief Financial Officer.
 American Superconductor issued its earnings release for the third quarter fiscal 2019 yesterday after the market closed. For those of you who have not yet seen the release, a copy is available in the Investors page of the company's website at www.amsc.com.
 Before starting the call, I'd like to remind you that various remarks that management may make during today's call about American Superconductor's future expectations, plans and prospects constitute forward-looking statements for purposes of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by such forward-looking statements as a result of various important factors, including those set forth in the Risk Factors section of American Superconductor's annual report on Form 10-K for the year ended March 31, 2019, which the company filed with the SEC on June 5, 2019, and subsequent reports that the company has filed with the SEC.
 These forward-looking statements represent management's expectations only as of today and should not be relied upon as representing management's views as of any date subsequent to today. While the company anticipates that subsequent events and developments may cause the company's views to change, the company specifically disclaims any obligation to update these forward-looking statements.
 Also, on today's call, management will refer to certain non-GAAP financial measures, non-GAAP net loss and non-GAAP operating cash flow. Non-GAAP net loss is defined by the company as net income or net loss before sale of minority investments; stock-based compensation; gain on the China settlement, net; amortization of acquisition-related intangibles; changes in fair value of warrants; other unusual charges or items; and the net -- and the tax effect of adjustments calculated at the relevant rate for the company's non-GAAP metric.
 Non-GAAP operating cash flow is defined by the company as operating cash flow before the China settlement, net of legal fees and expenses; tax effect of adjustments; and any other unusual cash flows or items.
 The reconciliation of the non-GAAP measures to the directly comparable GAAP measures can be found in the third quarter of fiscal 2019 earnings press release that the company issued and furnished to the SEC last night on Form 8-K.
 All of American Superconductor's press releases and SEC filings can be accessed from the Investor Relations page of its website at www.amsc.com.
 With that, I will now turn the call over to Chairman, President and CEO, Daniel McGahn. Daniel? 
Daniel McGahn: Thanks, John. Good morning, everyone. I'll begin today by providing an update on our Grid and Wind businesses. John Kosiba will then provide you with a detailed review of our financial results for the third fiscal quarter, which ended on December 31, 2019, and provide guidance for our fourth fiscal quarter, which will end March 31, 2020. Following our comments, we'll open up the line to questions from our analysts.
 At the top here, I just want to say how proud I am of the team that's really rallied behind this idea of growing through Grid. And what you're going to see today as we go through the results and as we look forward in the next few quarters is really coming to fruition this change in direction that many of you have supported us through. And we see what we think is the beginning of a lot of good news, starting with today.
 Revenues of nearly $18 million exceeded our guidance range for the third quarter of fiscal 2019. Grid revenues more than doubled in the third quarter of fiscal 2019 when compared to the same period last year. In fact, Grid revenues for the first 3 quarters of this fiscal year have already surpassed Grid revenues from the entire prior fiscal year. Our Grid business grew more than 30% quarter-on-quarter. And for the first 3 quarters of this fiscal year, our Grid business is up almost 60%.
 Our total business grew by more than 25% quarter-to-quarter and year-on-year. We are executing on our strategy to diversify our business and reduce volatility by growth through Grid. Since the start of this fiscal year, we have maintained our sales momentum, while further strengthening our backlog and extending our grid visibility well into fiscal 2020.
 In our Wind business, we began shipping 5.5 megawatt ECS to Doosan during the third quarter fiscal 2019. Our D-VAR business has gained notable momentum this fiscal year. It's being supported by a strong base of projects in both the Renewable and Industrial segments. The average size of our D-VAR project has doubled, which is having a positive effect on gross margin. Our manufacturing team is performing very well. Our supply chain has been able to respond to the increasing demand for D-VAR.
 We anticipate that D-VAR shipments should provide a strong base of Grid revenues in the fourth quarter of this fiscal year and into next fiscal year. This expectation is driven by the strong backlog that we have for D-VAR as well as the overall Grid business. In fact, we now have reported 4 consecutive quarters in which Grid revenues comprised over 70% of total revenue. Our Grid business today is larger than our total business was just a few quarters ago. The catalyst of our recent D-VAR Industrial segment growth comes from the semiconductor manufacturing industry, which requires clean, reliable power.
 Our D-VAR performance in the Renewable Connectivity segment, both here in the U.S. market and abroad, is very strong and positioned to further grow. As domestic and international grid codes get more stringent, we are seeing more opportunities for our D-VAR systems to connect wind farms to the transmission grid. We are partnered with top-tier wind turbine manufacturers to provide wind farm connectivity to the power grid in Australia as well as other markets. We believe this success is a result of the exceptional quality and high performance of our power electronic solutions.
 In the third quarter, we announced $31 million of new D-VAR orders and expect to enter fiscal 2020 with a strong backlog of orders for delivery in fiscal 2020.
 Our VVO product addresses power quality on the distribution grid. Over the last years, there's been a rapid rise in distributed energy resources, in particular, distributed generation from photovoltaics, or PV, in the form of residential rooftop, small utility scale and commercial solar installations. According to the Solar Energy Industries Association, the installed capacity in the U.S. reached approximately 70 gigawatts of solar PV in 2019 and is expected to more than double by 2025. Installed wind capacity reached 100 gigawatts in 2019 and is expected to increase by more than 50% by 2025.
 In the U.S., both -- by -- sorry, in the U.S. by 2025, both solar and wind capacity will generate enough electricity to power the equivalent of approximately tens of millions of American homes. Globally, both the wind and solar markets are expected to add an additional 900 gigawatts of 2025.
 VVO is focused principally on looking at solar. We added the numbers for wind, so you understand in contrast, the solar opportunity has the potential to be even bigger than what we've seen in wind.
 Because renewable energy is dynamic and intermittently variable in nature, distribution grids must now enhance their network capabilities to accommodate this new resource while maintaining efficiency and superior power quality for their customers.
 For the utility, the VVO system offers superior power quality, environmental benefits and significant cost savings over traditional solutions. In fiscal year 2019, we initiated a targeted commercial launch to make sure we have a product ready for an expected broader commercial launch in fiscal 2020.
 Utilities are finding that our VVO solution can cost-effectively improve the power quality on distribution lines that are becoming saturated with solar PV, whether from residential or commercial solar farms. The traditional solution to this type of power quality problem is to reconductor the distribution feeder, which is a very costly undertaking. In these types of applications, VVO has already proven to be as little as 1/8 the cost of the alternative because reconductoring is now no longer necessary. We have seen VVO contributing to our Grid growth this fiscal year.
 Turning to REG. As you know, we formalized an agreement with ComEd, owned by Exelon, to install our resilient electric grid or REG system to link existing electric power infrastructure within the city of Chicago. The first REG system in Chicago will utilize AMSC's technology to link existing electric power infrastructure within their city. We have fabricated the REG cable for the ComEd project and expect to deliver the entire project's hardware to ComEd in 2020. We look forward to the successful energization of REG, which is expected to occur still in 2021.
 We're also working with ComEd to evaluate a second potential project, the project that is expected to be 4 to 6x larger than the current one. The proposed second project is anticipated to link multiple substations in Chicago.
 We are working to expand REG beyond Chicago. There are issues facing utilities that we believe simply cannot be solved using conventional power delivery systems. Climate change is increasing the intensity and number of fires, floods and storms. Severe weather and an aging infrastructure are the leading cause of power outages in the United States. The annual cost of power outages in the U.S. is estimated to exceed $25 billion. And that's annually. Cost estimates for power outage recovery of storms have now been reported in the tens of billions of dollars. These are big numbers for sure. We believe our REG system can address those unique needs in a way that makes economic sense to utilities. We are working to help utilities across the United States understand that REG uniquely solves problems that are a priority today.
 REG's physical properties allow the electric grid to be resilient and efficient without a digital or computer footprint; in other words, without the cybersecurity risks posed by some recent efforts to modernize the grid.
 We continue to pursue specific projects with Boston, Seattle, San Francisco, Washington D.C. as well as Chicago and several other cities. With the first system secured, we believe that the future deployments of REGs will -- REG will be de-risked. We anticipate growth from our REG business in fiscal 2019.
 Turning to the Navy. Our Ship Protection System is now the U.S. Navy's baseline design for the San Antonio Class ship platform called LPD. From a capacity perspective, we are planning to manufacture multiple SPS systems concurrently. This fiscal year, we focused on putting into place the capabilities to deliver on the backlog we have already established, SPS systems for LPD 28 and LPD 30.
 SPS contributed to our Grid segment revenues in the third quarter of fiscal 2019. We are working closely with the Navy to understand the program timing for orders that we anticipate for LPD 29 and LPD 31. We anticipate our SPS has the potential for deployment on a total of approximately 15 future ships in this class.
 We believe our SPS for the San Antonio Class could represent a potential revenue stream of about $150 million over the remaining design life of the San Antonio Class. The San Antonio Class is our first design win with the Navy. The Navy has identified the next class of ship for deployment of our SPS system.
 We are pursuing additional classes of vessels with the U.S. Navy, such as aircraft carriers, destroyers, frigates, littoral combat ships and support vessels. We believe that we're in position to get more SPS orders in the future.
 With a beachhead established on the San Antonio Class, our strategy is to expand into additional platforms and navies. Our long-term vision is to expand HTS technology into the fleet through a variety of applications for power, propulsion and protection equipment.
 Turning to Doosan and Wind. In 2017, we signed an agreement for a 5.5-megawatt offshore wind turbine design with South Korea wind turbine manufacturer, Doosan. Under the agreement, AMSC is the exclusive supplier of electrical control systems for Doosan's 5.5-megawatt offshore wind turbine. In 2019, we received a $9 million order for 5.5-megawatt ECS units, which we are now supplying Doosan with. We expect to complete shipments under this order by no later than fiscal year 2020.
 As part of South Korea's Ministry of Trade, Industry and Energy strategy, renewables are targeted to generate 20% of South Korean electricity by 2030 and at least 30% by 2040. The expected added wind capacity by 2030 is in the range of 13 to 17 gigawatts. To date, there are approximately 9 large-scale offshore wind farms in the development pipeline, which total nearly 9 gigawatts of wind capacity.
 We understand Doosan will supply wind turbines for the southwestern offshore wind project. It's a 2.5-gigawatt development as well as the Gunsan offshore wind project, which is a 1-gigawatt wind farm being developed.
 We have a strong working relationship with Doosan. We believe we're well positioned to support their short-term and long-term plans. Our Wind team is working closely with Doosan. And together, we look forward to potentially penetrating the global offshore wind market.
 On to India, we are monitoring Inox's execution on the SECI-2 project. As a reminder, Inox won 300 megawatts from the SECI-2 auction. According to Inox, delays with the build-out of the grid in India have negatively impacted all wind turbine manufacturers in India.
 Per our supply agreement, Inox is required to post letters of credit before AMSC will ship ECS orders. Last quarter, we reported Inox as delinquent on its obligation to post letters of credits for sets of ECS that Inox forecasted to purchase under the terms of the 2-megawatt supply contract. While Inox does remain delinquent on the strategic 2-megawatt supply agreement, the company did pay past due amounts on open invoices during the third fiscal quarter. Inox is working to regain compliance with our strategic 2-megawatt supply agreement. We believe Inox is working through their inventory of 2-megawatt ECS and turbines due to the slowdown in the Indian wind market last year.
 Now I would like John Kosiba to discuss our financial results for the third quarter of fiscal 2019 as well as provide financial guidance for our fourth fiscal quarter ending March 31, 2020. John? 
John Kosiba: Thanks, Daniel, and good morning, everyone. AMSC generated revenues of $17.9 million for the third quarter of fiscal 2019 compared to $14.1 million in the year ago quarter. Our Grid business unit accounted for 85% of total revenues.
 Grid business unit revenue of $15.2 million more than doubled versus the year ago quarter with 123% year-over-year growth. D-VAR, VVO, SPS and REG each contributed to Grid growth in the third quarter of fiscal 2019.
 Our Wind business unit revenue of $2.7 million was driven primarily by ECS shipments to Doosan and spare part shipments to our wind licensees and their customers.
 Looking at the P&L in more detail. Gross margin for the third quarter of fiscal 2019 was 9%, which compares to 26% in the year ago quarter. The decrease in gross margin in the third quarter of fiscal 2019 was primarily due to a less favorable product mix and increased revenue from our cost share project with DHS for the Chicago REG project.
 Research and development and SG&A expenses for the third quarter of fiscal 2019 were $8.1 million compared to $7.8 million in the year ago period. Approximately 13% of our R&D and SG&A expenses in the third quarter of fiscal 2019 were noncash.
 Our net loss in the third quarter of fiscal 2019 was $6.8 million or $0.32 per share. This compares to a net income of $17.3 million or $0.85 per share in the year ago quarter. As a reminder, the net income in the year ago quarter included a net gain on the China settlement of $22.8 million.
 Our non-GAAP net loss for the third quarter of fiscal 2019 was $6.7 million or $0.32 per share compared with a non-GAAP net loss of $2.3 million or $0.11 per share in the year ago quarter.
 Please see our press release issued last night for a reconciliation of GAAP to non-GAAP results.
 Our GAAP operating cash burn in the third quarter of fiscal 2019 was $7.3 million. During the quarter, we paid a total of $2.7 million in income and withholding taxes related to the settlement. When excluding these settlement-related tax payments, operating cash burn was $4.6 million.
 On November 13, 2019, Hudson Bay Capital exercised warrants to purchase an aggregate of 786,000 restricted shares of the company's common stock at an exercise price of $7.81 per share. Hudson Bay paid an aggregate of $6.1 million to the company in connection with the warrant exercise. The remaining unexercised Hudson Bay Capital warrants expired on November 13, 2019. As of December 31, 2019, AMSC does not have any outstanding warrants.
 We ended the third quarter of fiscal 2019 with $66.3 million in cash, cash equivalents, marketable securities and restricted cash. This compares with $68.6 million at September 30, 2019.
 Turning to our financial guidance for the fourth quarter of fiscal 2019. We expect that our revenues will be in the range of $17 million to $20 million. Our net loss on that revenue is expected not to exceed $6 million or $0.28 per share, and our non-GAAP net loss is expected not to exceed $5 million or $0.23 per share.
 The company expects operating cash flow to be a burn of $2 million to $4 million in the fourth quarter of fiscal 2019. This guidance does not include any tax payments or other costs related to the China settlement.
 We expect to end the fourth quarter of fiscal 2019 with no less than $61 million in cash, cash equivalents and marketable securities and restricted cash.
 With that, I'll turn the call back over to Daniel. Dan? 
Daniel McGahn: Thanks, John. To conclude today, great revenues, more than doubled in the third quarter of fiscal 2019 when compared to the same quarter last year. Our Grid business grew more than 30% sequentially in the third quarter. And for the first 3 quarters of fiscal -- of this fiscal year, our Grid business is up almost 60%. In fact, 9 months into this fiscal year, we've already met our objective of Grid growth. And because of our strong backlog, we are bullish going into fiscal year 2020. We have the advantage of supporting our expected growth with a very strong balance sheet.
 Operator, we'll now take questions from our analysts. 
Operator: [Operator Instructions] And the first question comes from Eric Stine with Craig-Hallum. 
Aaron Spychalla: It's Aaron Spychalla on for Eric. Maybe first on D-VAR. Obviously, the notable acceleration in 2019 on the order front, it's $55 million plus, can you just kind of talk about the pipeline there and thoughts on your outlook as we get into 2020? And then just anything on the penetration or kind of share with your existing customers like Vestas and just overall in the market there? 
Daniel McGahn: Yes. So first, just to correct, you had $55 million, I think, was the run rate, that's for Grid in totality, not just D-VAR. We don't break out D-VAR as a specific segment. But to give you some color, what we're seeing is we're seeing an increase in the value of the projects that we're taking, which means for the same sales effort, you're reaping more revenue. That should also translate hopefully into a bit healthier margin as we do that. We've seen some penetration into this industrial segment. We see that continuing over the next years, given where they are in their buildout cycle for capital.
 We did mention and maybe not strongly enough, but I'll go back and say, we are working with now several, not one, but several top-tier manufacturers of wind turbines, where we're now riding along in the projects that they're developing, that's another channel to market to help expand revenues and accelerate growth there. So we're trying to do what we can to accelerate and continue to accelerate the growth of D-VAR and Grid and then layer on the additional products, the VVO, REG and then SPS, which is part of Grid as well. 
Aaron Spychalla: All right. Understood. And then maybe second on REG following the FERC ruling last year, can you just kind of talk about how the conversations with utilities have maybe changed since then? And do you think some move forward prior to Chicago being completed? Or is that kind of a proof point that others are waiting at? 
Daniel McGahn: I personally think that Chicago is the proof point. And we're focusing our team on delivery. We talked about we've manufactured key components already for the system, which is meaning that we're getting some noticeable REG revenue. To remind you, one of the things that REG does, it's a great entry point for us, but it is a cost-sharing arrangement. It does have a little drag on gross margin. So I just want to remember to highlight that with you. But we're focused on the cities that I mentioned. We've identified real projects.
 The FERC ruling really has expedited kind of the feeling throughout the organization that recovery is not only possible but certain. And in utility land, that's a big risk reduction. So I think that, that certainly is helping us. I know that utilities don't move at quarter-to-quarter speed. These are multiyear projects that they're looking at to fix problems that have existed in their grid for some time. So we believe we remain persistent and those orders will come. But the first project with Chicago really is the proof point. 
Operator: And the next question comes from Colin Rusch with Oppenheimer. 
Colin Rusch: It's encouraging to hear about Doosan moving forward with projects. Can you talk a little bit about the revenue opportunity for you guys related to 3.5-gigawatt pipeline of projects that they're working on? And any sort of expectations around the time frame for how that will get shipped and built out? 
Daniel McGahn: Yes. To be blunt, we don't have a second order -- follow-on order yet for the 5.5 megawatt. It looks like the market is setting up where they're going to need product. I don't know if it's very soon, but should be relatively soon. Doosan is really focused on trying to execute well in these first projects with the hope that, that translates to a very large market share for them in Korea. So we're making sure that we're there to be able to support them in the field as they start to test these wind turbines. That's an important milestone for them and for us, for sure.
 The numbers out of Korea are very big. The challenge always has been -- I don't think the desire of the Korean government to go forward and do these, but it's really been the timing. And I think what we have to do, in many ways, just like Chicago, we got to go step by step here. Let's get these first turbines operational, let's help support Doosan with their business development efforts by having a very good product in the field. And the belief is that as we get later in this decade, the Korean market on an annual basis should expand to what looks like in excess of 1 gigawatt a year.
 The hope here what we're playing for is that Doosan can get a very large market share in that market, then that would be great for us. But I don't see it's something that's going to turn, let's say, in the next couple of few quarters. But as we start to look to 2021 and beyond, we think it can become an even more important part of our business. 
Colin Rusch: Okay. That's super helpful. And then just looking at the gross margins, as you see the product mix shift and revenue scaling a little bit, how should we think about the cadence of gross margin improvement as you scale revenue a little bit here? 
Daniel McGahn: Yes, I think I'll say kind of at a high level, and then, John, if you want to add some additional color. The thing that everybody has to remember is when you look at our numbers, look at trailing quarters and then look at the next few quarters, how they're going to come. Margin will still bounce around a little bit in projects. But we are embarking on a cost share arrangement with REG. We are in the early days of getting into production for the Ship Protection Systems. Obviously, the first articles will cost more than articles that are procured later in the cycle as we're doing multiple units.
 So as we see revenues expand because of these multiple products, we're trying to do what we can with D-VAR to manage, maintain and potentially grow those margins, while we realize that we're birthing some new products that are not going to be at the margins today that they're going to be in the future. So we just have to be able to weather through that and always look for cost as a key thing to drive over time. It's not something we can do, let's say, in 2020, but as we get a more diversified business, we want to continue to be able to work on margin. John? 
John Kosiba: Yes. No, I mean, I think you hit it right on the head. I mean, Colin, the other thing to keep in mind is to oversimplify it, to the extent that the revenue is driven by increased revenue in Wind and D-VAR, that's going to obviously have a positive impact on the gross margin because they have the highest contribution margins. To the extent that revenue is driven by increase in REG or some of the other early adoption products, those won't have the same accelerator of gross profit. 
Colin Rusch: Okay, that's helpful. And then just a final one for me. Can you just speak to the preparedness of the supply chain to support you guys as you ramp up? Should things accelerate a little bit, whether it's in the Wind, the D-VAR, VVO or SPS side at all, is your supply chain ready to support you in that sort of acceleration? 
Daniel McGahn: You're not bugging our place, are you, Colin? 
Colin Rusch: No, I'm just trying to get a sense of... 
Daniel McGahn: I'm just teasing you because it's something that's paramount to us. It's something we put a lot of focus on our long-term strategic partners on our supply chain. We know we see increase in demand coming across our product lines. We have a team that's dedicated to focus to make sure that we don't have any missteps on the supply chain as we grow. That isn't to say that they won't happen. But as we've had challenges, and we have had challenges in the past, we've been able to reconcile them fast enough that they don't affect the financials of the business. So what we want to do is focus on making sure we're delivering a great product to a customer and supporting that great product and to make sure that we're able to build more and more of those as we go forward.
 We ramped up a lot in the way of production capability here. And it's really through the supply chain, Colin, that -- it's making sure people understand. We may need 10%, 20%, 30% more, depending upon how the order book starts to flow over time. 
Operator: And the next question comes from Chip Moore with Canaccord. 
Chip Moore: I'll echo my congratulations on the strong Grid revenues. Maybe we could start with a question we're asking all our companies, guys, just any impacts on your customers or supply chain from what's going on over in China and the extended Lunar New Year there? 
Daniel McGahn: There's something going on in China? It doesn't impact our business at all. Everything we do here, we have all our grid products made in the U.S. We really have no exposure when we think about supply chain. For us, China is a 5-letter word that's in our past, and we are an interesting play. We believe that is a business that's growing without impact either from supply from China or from market from China or any turmoil that China would contribute.
 Now the broader markets, I guess, always have turbulence that may be induced by China, either through the catastrophe that's going on now or dealing with the trade issues. But I don't know how to say it more clearly, is we're a nice pure-play away from China. If people want to think of us that way, I think that's a good way to consider us. 
Chip Moore: Yes. Got it. Perfect. And maybe we could talk a little bit more about VVO getting ready for a bit of a broader launch here this year. Can you talk about early receptivity and some of the traction you're seeing on the distribution side? 
Daniel McGahn: Yes. The nice thing we see is when we go to these trade shows now, we don't have to present. The utilities are presenting our product as a key thing to fix their challenges. So we've seen what we think are very important utilities out there really marketing for us. And what they're simply doing is reporting on the excellent results that we've had with multiple installations with them.
 So the good part about VVO is it should be less volatile because you have a price point that's on the lower end of all of our products. But the counter is true that you need to sell a lot of them to move the needle. So we think we're in a very good position where we know we have a product that really solves the real problem in the market. And that problem is only going to exacerbate and grow over time. So we have the support of many utilities now that are out talking to other utilities on our behalf. Not in our direction, just simply, they're very satisfied and excited by the experience that they have. And there aren't that many cool new things on the grid. So for utility engineers that go out and talk about REG, which they do, or just go out talk about VVO, which they certainly do, there's very little opportunities for these smart guys that say, "Wow, the grid is changing, we really are being proactive to bring more renewables on the grid and bring more resiliency to the grid." And that's really where our sweet spot fits. 
Chip Moore: That's great. And one last one for me, guys, on the Navy. You alluded to potential for some more wins there. How should we think about timing? And really, how should we think about potential wins outside of the San Antonio Class? 
Daniel McGahn: Yes. It's hard to know with timing. I know the timing we went through to get LPD and how challenging that was took a lot of effort. I think the thing that we wanted to report today was we've been basically directed by the Navy that we understand where we're going to put the next system. I don't know on what whole number. I don't know at what date. We still focus principally on forward fit, meaning, we're trying to take an existing type of ship that they're building a new one and insert our hardware in.
 I had the privilege to go down and be part of the team to actually see the ship that we're considered for. And I am impressed with our engineering capability, what we're able to do to miniaturize, make things small, to really make it easy for the Navy to increase the level of protection on these ships. The things that we're doing, I'm just so proud of as an American that we're really focused on here protecting American sailors of sea, and I think this is going to be a very important thing, not just for LPD, but for many, many ship platforms in the future. It's just hard for us to handicap or tell you specifically when that's going to happen. But I think there has been a little bit of a positive turn because we know where we're going to go next. So bear with us on when. 
Operator: And our next question comes from Philip Shen with Roth Capital Partners. 
Abel Ortega: This is Abel Ortega. I'm on for Phil. I think you mentioned that you have $31 million worth of D-VAR backlog. Can you provide some additional color on your overall Grid backlog? Perhaps some color on the mix and timing? 
Daniel McGahn: So the $31 million, I think, are the announced orders, that's right, through the different press releases. Do you want to talk about the backlog that we have in the... 
Abel Ortega: Yes. If you could provide some additional color on that. 
John Kosiba: Yes. So we have in excess of over $50 million of backlog. And what we do is we say that will be -- that backlog will be generated over the next 12 months. 
Daniel McGahn: We don't really break it down. One of the challenges that we do have in our backlog is we have to make an estimate on -- we have a large order from Inox, as we mentioned, where they are. We have to predict what would turn into revenue within a year and put that into backlog.
 Obviously, giving you our tone, we probably don't have much of that in there. But we don't really break it down by product. What we see is the overall order book is expanding. We see growth in Grid. We see growth across all the products in Grid. 
John Kosiba: So Abel, it's $76.2 million is the total 12-month backlog, to be more precise. 
Abel Ortega: Okay. Great. And how do you expect the Grid revenues to trend by quarter throughout calendar 2020? 
Daniel McGahn: It's a good question. It's something that we always have to struggle with because we want to make sure that we're delivering on projects that we're working on and entering into new products -- projects as customers need them. There has been a historical lumpiness to much of the Grid business, specifically D-VAR. I don't see that going away. I do see it dampening. So the volatility will be reduced.
 But we're reporting today $15-plus million in Grid. Don't feel that, that's now going to happen for the next few quarters and we're going to grow off of that. If you look at trailing trends, we've been growing Grid. If you go forward, you have to assume we're going to continue to grow at that rate or higher just based upon the trajectory the past few quarters have been on. The backlog supports it. And as we're saying, we have healthy backlog well into 2020.
 We really sit in a very good position here as we look at December. And as we give you forward numbers for March, we're giving you some color a little further out here that things are going to be very good continuing for Grid, but please don't assume that there's going to necessarily be quarter-on-quarter growth in Grid. The overall trajectory will certainly be upward. 
Abel Ortega: Okay. Great. I mean the Grid business does sound like it is doing great. And we saw a spike in EMEA grid revenues in the quarter to $5 million versus very little in the prior 2 quarters. Can you tell us what the key drivers here? And should we expect the strength in EMEA grid sustained in the quarters ahead? 
Daniel McGahn: Something broke up Abel when you said -- you said something, something, $5 million in the quarter, I don't know what you were referring to. 
Abel Ortega: Yes. We saw a spike in EMEA grid revenues in the quarter to $5 million versus very little in the prior 2 quarters. And I was just wondering, what was the key driver here. Should we expect the strength in EMEA grid revenues... 
John Kosiba: Oh, he's talking regional. You're picking the region you're saying. Okay. Look, Abel, I think -- so on that, that's very specific to one D-VAR project. I wouldn't trend off that. Our business is project-by-project basis. That was a good project for us. But I wouldn't say that EMEA all of a sudden is going to be representing 20% of our revenue, if that's what you... 
Daniel McGahn: But you are seeing that when customers show up or regions show up that those individual numbers on a project base are growing. And that's, I think, important. Also realize we've opened up, we think, some additional channel to market by being able to sell with multiple wind turbine manufacturers, top-tier wind turbine manufacturers. 
Abel Ortega: Great. And one last one for me. So with the success you are seeing in the Grid, when do you think you can turn the corner and generate positive operating profit for the Grid business? Do you see this in the next 4 quarters potentially? 
Daniel McGahn: We don't really forecast out that far. I mean what we want to do is if we continue to grow revenue, we continue to get traction with D-VAR and all the new products, the business should continue to take care of itself. So what we're trying to do is deliver the momentum on the order side, be able to meet what customer needs are going to be and the numbers, we think, should take care of themselves over time. But we don't have any specific dates out there. 
Operator: And we have no additional questions at this time. I will turn the call back over to Mr. McGahn for closing remarks. 
Daniel McGahn: Thank you. Appreciate it. Just to kind of go back and step back kind of big picture and frame where we are. We had what I think was a very nice Analyst Day in New York recently, and we kind of introduced a new framework to think about the company, where AMSC's products really orchestrate the rhythm and harmony of power from generation to consumption, helping to create a super grid that enables more clean power generation and providing a more resilient grid. That's what we're trying to deliver.
 Our D-VAR business today is very strong, both on renewable and industrial side. We're delivering VVO to the market, and we keep building the pipeline of potential projects for VVO. I think a key point today for people to realize, we have manufactured some of the key components for the REG system for Chicago. And what that means from my standpoint is lowering risk of our ability to make sure we execute in delivery. And from John's standpoint, you have a little bit of a bloom in revenue due to that program.
 Similarly, when we look at the Navy side of our business, we help enable super ships that protect and expand the current capabilities of naval fleets. So today, we offer Ship Protection Systems and are currently focused on putting into place the capabilities to deliver on our backlog for LPD 28 and LPD 30. We do see more orders coming, not only for LPD, but we hinted at more as well. In the future, we do look forward to offering power delivery systems within the ship in addition to power generation at main ship electric propulsion.
 In conclusion, what we've done here is we've transitioned our revenue mix towards what we believe is a more predictable recurring revenue base by growing Grid business.
 We've achieved year-over-year revenue growth without Inox. Our effort to diversify our business towards Grid is really working. To be clear, we're going to continue to support our wind partners in South Korea and India, with the objective of growing both, our onshore and offshore wind business. We're executing against our goals, and that's really to the credit of our employees' hard work and dedication. And John and I look forward to reporting back to you at the completion of our fourth fiscal quarter of 2019. Thank you, everyone. 
Operator: Thank you, ladies and gentlemen. This concludes today's presentation. You may now disconnect.